Operator: Thank you for standing by, and welcome to the Blend Labs, Inc. Second Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Meg Nunnally, Head of Investor Relations. Please go ahead.
Meg Nunnally: Good afternoon, and welcome to Blend's Financial Results Conference Call for the Second Quarter of 2025. I'm Meg Nunnally, Blend's Head of Investor Relations. Joining me today is Nima Ghamsari, our Co-Founder and CEO; and Amir Jafari, our Head of Finance and Administration. Before we start today's call, I'd like to note some of the statements on our call will be forward-looking. We also refer to certain non- GAAP measures, which are reconciled to GAAP measures in today's earnings release and in the appendix to our supplemental slides. Non-GAAP measures are not intended to be a substitute for GAAP results. Unless otherwise stated, all financial measures we'll discuss today, including our profitability, refer to non-GAAP. Also, certain statements made during today's conference call regarding Blend and its operations, in particular, its guidance for the third quarter and full year 2025 and expectations about our markets, our strategic investments, product development plans and operational targets may be considered forward-looking statements under the federal securities laws. The company cautions you that forward- looking statements involve substantial risks and uncertainties and a number of factors, many of which are beyond the company's control, could cause actual results, events or circumstances to differ materially from those described in these statements. Please see the risk factors we've identified in our most recent 10-K, 10-Q and other SEC filings. We are not undertaking any commitment to update these statements if conditions change, except as required by law. All comparisons made in the course of this call are against continuing operations for the same period in the prior year, unless otherwise stated. Lastly, we'll be providing a copy of our prepared remarks on our website by the conclusion of today's call, and an audio replay will also be available soon after the call. I'll now turn the call over to Nima.
Nima Ghamsari: Hello, everyone. This is our second quarter earnings call, and it's the middle of 2025, but it feels like an annual call since it is our fourth consecutive quarter of solid results. We've now posted 4 quarters of year-over-year total revenue growth and 4 quarters of non- GAAP operating profitability. I did want to take a moment to acknowledge the news we released earlier today regarding the leadership transition. I want to thank Amir for his contributions. He took us on the hard work of navigating the company through a challenging period and has set us on a path towards a brighter future. We wish him great success in his future endeavors. Our strong results today are a reflection of the hard work we did in 2023 and the first half of 2024, to get our house in order and refocus on our strength as a platform company with our simplified Blend strategy. We turned the corner around the middle of 2024 and entered 2025 ready to execute. There are three key areas I'd like to highlight where we feel very confident and excited for the future. One, expanding our market share with new logos; two, expanding take rate with existing customers; and three, growing consumer banking to diversify our revenue base. Our sales momentum accelerated in Q2 with 23 newer expanded deals, which is double Q1. This growth was driven by a healthy mix of new customer acquisitions and deep product expansions from existing customers, reinforcing Blend's position as a long-term multiproduct platform partner. In addition to expansion deal we previewed in May, we signed additional 7-figure expansion. This figure also includes 3 net new logos in the independent mortgage bank or IMB vertical, where we've built a dedicated business unit that brings innovation and go-to-market under a single leader, allowing us to focus on this vertical and capture market share ahead of a market rebound. Taken together, these customer wins and expansions have propelled our remaining performance obligations balance, or RPO, to a new record for Blend of $190 million. Our sales momentum is helping us drive market share gains. For the customers we signed over the last 12 months, these new logos represent more than 80 bps of 2024 market volumes based on the Home Mortgage Disclosure Act, or HMDA data. Growing share directly translates into Blend revenue growth as new customers ramp. Of the 17 mortgage customers we've signed in the last 12 months, 6 are already live and ramping on our platform. But even more exciting than our trend in new customers is our trend on churn. Our customer base always comes first, and we consider customer satisfaction and retention as essential to our success. Looking back, it's no secret that 2023 was a rough year for the mortgage industry, which was unprofitable and cutting costs by any means necessary. That year, we received churn notices from a decent number of customers going out of business or cutting costs. But in 2024, that number declined by 70%. And so far this year, 7 months in, we have received 0 churn notices from customers. The foundation of any vertical SaaS business is this customer base, and I feel momentum qualitatively and I see momentum quantitatively in these numbers. Getting to this point in the cycle wasn't easy, but now that we're here, we have a great foundation for the future to build market share with newly signed customers. Looking forward, on our last earnings call, I talked about the wave of customer inquiries we received in the wake of the announcement that Rocket Mortgage is acquiring Mr. Cooper. Lenders understand that consumers are looking for simplicity and personalization that comes from tech-enabled solutions. Blend can help lenders achieve this goal, and we're seeing both existing customers and prospects who are choosing to invest now to stay competitive rather than wait for the cycle to turn potentially get caught flat-footed. To put some quantification around this, our current pipeline consists of a range of customers representing more than 4% of the 2024 HMDA market share. In addition to growing our market share with new logos, we can also grow revenue by providing more value to our existing customers and in turn expanding our take rate with existing customers. As we help our customers succeed, we'll succeed and pass this down to shareholders. Within our mortgage suite, the main way we measure take rate is economic value per funded loan or EVPFL, which represents the per loan contractual rates we receive for mortgages and mortgage-related products. In the second quarter of 2025, our EVPFL was $88, which was in line with the forecast we provided in May. Our EVPFL is now near trough levels after our strategic move to simplify Blend and shift a set of formerly direct services, including home insurance, income verification and finally, title to a lower revenue but higher-margin partnership model. We said in May that we expected the second quarter to be the trough for EVPFL, though Amir will talk in a minute about some of the near-term headwinds that may adversely impact third and fourth quarter numbers. Over the longer-term, we continue to expect an upward trend in EVPFL as existing customers add new products and new customers launch with multiproduct solutions. In the medium-term, we believe the rollout of Rapid Refi has the best potential to drive EVPFL expansion in our mortgage suite. We launched Rapid Refi in February 2025, and discussed the product in some detail on our last earnings call. We believe Blend's Rapid Refi solution is the industry's fastest, most automated and hyper-personalized refinance solution. Customers are willing to pay more for Rapid Refi because it drives better customer conversion, engagement and loyalty. The product is especially appealing to customers looking to prepare in advance of a market rebound. When volumes do recover, the mix shift towards our Rapid Refi product has the potential to add an extra kicker to our EVPFL. Our focus today is on signing new customers so that we, both Blend and our customers are ready if and when a refi wave comes. In the first half of 2025, we signed 4 customers with Rapid Refi, and we're just getting started. The other key product for driving EVPFL over the medium to long-term is Blend Close. Blend Close product revenue nearly doubled this quarter compared to the second quarter of 2024. eClose adoption is becoming widespread, especially as a low friction add-on. We're finding that customers often want to include Blend Close and expansions, indicating it's viewed as an essential next step in mortgage modernization. In addition to Rapid Refi and Blend Close, our new ecosystem approach as part of our simplified Blend strategy is an avenue for long-term EVPFL expansion. One example of this is Upfront Title. We announced our Upfront Title partnership with Doma in July. Upfront Title is a solution that integrates a faster and more cost-effective title product directly into the Blend platform. Since our pilot launch in 2024, we've already seen strong adoption with 2 major lenders, a top 5 bank and a top 5 servicer, and we have a large pipeline of interest. And beyond that, we have more that we're building behind the scenes that should increase our value to our customers, and therefore, drive up value per unit that we capture. I'll talk more about AI later, but this is an area where I see hundreds of dollars of opportunity per loan for us and our customer base. Shifting gears, while we're working to gain share and expand our take rate within the mortgage suite, we're also seeing rapid growth in our consumer banking suite. Consumer banking represented 36% of total revenue in the second quarter of 2025, up from 28% 1 year ago. This mix shift is driven by the segment's rapid growth. Year-over-year growth in the second quarter was 43%. Out of the 23 wins and expansions we posted for the second quarter, 18 included core consumer banking or home equity products. Continued growth of our consumer banking suite is highly strategic to us, not only because of the revenue uplift, but also for diversification of revenue streams, which makes our business more stable over the long-term. The pipeline for consumer banking continues to expand as well. Our open pipeline is up 18% year-over-year at the end of the second quarter. Before turning the call over to Amir, I wanted to summarize where we are today and where we're going in the future. We've been through the gauntlet, but we're coming out the other side stronger, and we're committed to driving value for our customers and sustainable growth for shareholders. Our recent new customer wins, our progress on value-added products and our growing consumer banking business all give us confidence on the path forward. We're energized, excited and staying ready to capitalize as volumes recover. One final topic I'd like to preview with you is the potential for AI to shape the future of the industry. Blend is uniquely positioned as a technology leader with deep relationships in an industry that has historically been burdened with highly manual and time- consuming processes. Legacy loan origination processes have many stare and compare moments, starting with initial documents that are submitted all the way up to post close when quality control teams pour over the data once again. It's tedious, repetitive and subject to human error, making it an excellent candidate for AI. Blend is currently piloting a new AI tool that sits across documents, data and origination guidelines. The AI tool can identify gaps and potential discrepancies with lightning speed and efficiency. We view it like having the smartest underwriter sitting in the room and checking everything upfront on every loan. By saving time and the painful back-and-forth process, we believe we can potentially save customers thousands of dollars while also capturing better economics for Blend. We'll be moving forward with the pilot and rollout and hope to share more in coming quarters. With that, I'll turn the call over to Amir.
Amir Jafari: Thank you, Nima. I'd like to say that while I will be moving on from Blend, I'm extremely proud of what we've achieved during my time here. Everything we've done, including our simplified Blend strategy has made Blend stronger. We cleared one of the final hurdles in implementing our simplified Blend strategy when we announced the signing of a definitive agreement to sell Title365 to Covius in June. We expect that transaction to close later this year, subject to regulatory approvals. With this transition, we are now fully aligned both operationally and strategically around a software-first model that scales through partnerships and platform innovation rather than own services. With our simplified platform focus, we're staying ready to capitalize when volumes recover. Let's dive into the results. Total revenue in the second quarter of 2025 was $31.5 million, ahead of the midpoint of our guidance and up 10% year-over-year. As Nima mentioned, this is our fourth consecutive quarter of year-over-year growth. Growth was driven by a 43% increase in consumer banking suite revenue to $11.4 million and partially offset by a 3% decrease in mortgage suite revenue to $18 million. A 43% increase in consumer banking suite revenue was broad-based across all product lines, including core consumer banking products like deposit account openings, credit cards and vehicle loans as well as home equity lending products, which are included in our consumer banking suite. Overall volumes for our mortgage suite were roughly flat year-over-year. The 3% decrease in mortgage suite revenue was primarily driven by lower EVPFL, which was $88 for the second quarter of 2025 versus $97 a year ago. We, of course, anticipated lower EVPFL as a consequence of our shift to a platform model, and this accounted for $5 of the step down as we decreased low-margin add-on product revenue by $12 per loan and increased high-margin partnership revenue by $7 per loan. To reiterate, our focus is to optimize the operating profit and margins of these partnership transitions. Total revenue also includes $2.1 million of professional services revenue in the second quarter. Looking back to consolidated results. Our total gross profit was $23.3 million. After excluding stock-based compensation and capitalization of amortized software, our non-GAAP gross profit was $24 million, and our non-GAAP gross margin was 76%, up from 71% in the second quarter of 2024. Non-GAAP operating expenses were $19.3 million, down $6.6 million year-over-year. Non- GAAP operating income was positive $4.7 million, above the midpoint of our guidance and representing a non-GAAP operating margin of 15%. This is our fourth consecutive quarter of positive non-GAAP operating income. Free cash flow for the quarter was negative $9 million, which compares to negative $5.1 million in the same quarter last year. Our balance sheet remains strong, thanks to the work we did in 2024 to clear away debt and realign the cost structure of the business for sustainable growth. As of June 30, 2025, we had approximately $93.3 million of cash, cash equivalents and marketable securities, inclusive of restricted cash. Year-to-date through June 30, we repurchased approximately 1.3 million shares worth more than $4 million. As of June 30, we had $20.9 million remaining under our repurchase authorization, and we continue to view this as an opportunity for further capital allocation given current stock trading levels. Next, I want to provide some additional color on EVPFL and RPO. EVPFL for the second quarter came in at $88, which is in line with the guidance we provided in May. EVPFL has been coming down in recent quarters due to our strategic decision to sell and transition to a partnership model for our homeowner insurance and income verification businesses as part of our simplified Blend strategy. We have previously said that we expect the second quarter of 2025 to be a trough as we're moving past the strategic transition headwind. While we are indeed near trough levels, we have another near-term headwind that we expect to impact EVPFL for the rest of 2025. This near-term headwind is primarily related to a large strategic deal we signed with a top 5 IMB that has lower upfront pricing. The size, scope and long-term nature of this deal made it more than worth the near-term drag on EVPFL. With this in mind, we expect third quarter EVPFL to be approximately $85 to $86, and we expect to exit 2025 near the mid- to upper 80s. Longer-term, we still expect uplift from value-add products as Nima discussed. Shifting to RPO. For the second quarter, RPO set another record, coming in at $190 million. This is up from $158 million in the first quarter of 2025. As a reminder, RPO stands for remaining performance obligations. This balance represents commitments and minimums in customer contracts for services expected to be provided in the future that have not been recognized as revenue. Before I turn to guidance, I'd like to offer some commentary on industry volumes. As a reminder, we use HMDA data as our benchmark for total market size. We believe this bottoms-up data set represents the best way we can understand how our business is performing within the market in a detailed way. For 2024, HMDA mortgage volumes were approximately 4 million. For full year 2025, we're estimating market volumes of 4.24 million to 4.64 million, representing year-over-year growth of 5% to 15%. We've been giving these estimates on a quarterly basis. As previously noted, we estimated first quarter 2025 market volumes were 800,000 to 900,000 units and second quarter volumes were 1.15 million to 1.25 million. Our estimate for the third quarter is 1.16 million to 1.26 million units, which at the midpoint represents quarter-over-quarter growth of approximately 0.8%. We'd expect a slight volume downtick between Q3 and Q4, in line with normal seasonal patterns. Our current expectation for the fourth quarter is 1.13 million to 1.23 million units. Now turning to our financial expectations for the third quarter. We expect total revenue between $31.5 million and $33.5 million, with the midpoint representing a year-over-year decline of 2%. Our total non-GAAP operating income is expected to be between $3 million and $4.5 million. We've previously said we expect full year non-GAAP operating expenses to be in the range of $85 million to $90 million. We're actively making adjustments to the business in response to ongoing pressure in the mortgage market that could result in operating expenses coming in below that range. We'll be able to provide further updates on our next earnings call. And now let's take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Dylan Becker with William Blair.
Dylan Tyler Becker: Maybe Nima, starting with you. I know there's been a little bit more near-term rate volatility and some kind of pump takes on origination volumes over the past few years here. But wonder how you're kind of thinking about the factors that are contributing to potential unlock of overall volumes, whether rates, pricing, supply, et cetera, and kind of what you're hearing there? And then maybe pairing that with the momentum you guys are seeing in the home equity product on the consumer side that maybe makes you a little bit more insulated regardless of which directions rates move.
Nima Ghamsari: Yes. Thanks for the question, Dylan. A couple of things I'd say, the small rate movements make a big difference in our customers' volume basis. And so we've seen that a few times late '24, we saw that once. And then even recently when rates came down on Friday because of the jobs report, we saw that as well. So on the one hand, it's something we pay very close attention to. But on the other hand, it's something that's out of our control. And so the things that in our control is one of the things that you called out, which is a budding home equity business. And I talked about Rapid Refi in my prepared remarks, but another one of our Rapid products is Rapid Home Equity, which is a far more automated, far higher conversion home equity product that we're really excited about. And it's getting great uptake from our customers. I mean they really love the concept of giving someone a real home equity offer that they can really act on in the moment and it creates more value for them, creates more value for us in turn. So not only are we seeing home equity volumes rebound, we signed a number of very large home equity lenders late last year and some this year. And on top of that, we've been adding Rapid Home Equity as an add-on to existing home equity customers. So in some ways, that's helping insulate us from the things that are out of our control like rate movements. But I think we've kind of set ourselves up really well. The last thing I want to highlight as part of that is probably the most important, the thing that I really love the most about this year's numbers is how much we've stabilized our customer base in a time of turmoil, because that's the thing that sets us as a foundation. It sets the foundation for us as a company to not just take advantage of the rate rebound, but come out much stronger when rates do come down. The fact that we have basically -- I shouldn't say basically, we have 0 churn this year, churn notices this year from customers. I mean that's quite a feat for any software company, let alone a software company in the space as volatile as the mortgage industry. So very excited about that and something that we really hang our hat on because we've stayed customer focused. We've made sure we do right by our customers. It doesn't mean we're perfect, but we always follow through on the things that we say we're going to do as best that we can, and our customers all know that we care about them.
Dylan Tyler Becker: Yes. No, certainly. No, I agree wholeheartedly with that and that makes sense, Nima. Maybe, Amir, switching over to you on the per funded loan metrics. And I do think with a large customer kind of working with them from an economic perspective makes sense with the near-term step down there. But could you maybe remind us the puts and takes of what that kind of implementation and ramp can look like over time as maybe they start onboarding and adopting more products and how we could think about kind of the pace of recovery as Rapid Refi and a handful of these other solutions start to contribute more materially due to the higher ARPU uplift there?
Amir Jafari: Absolutely. Thanks, Dylan, for the question. I'll start with the same component as to what Nima mentioned, which is for the customer that we signed and this ability to, in essence, not just keep the customer, but enable us to grow with them. We brought a very large customer on board. That customer, in terms of your question of ramp, they're already a large customer. And so in the short-term, what you'd see is in essence, the headwind that we discussed, which is a pressure on our economic value per funded loan for this customer and for our other customers, the expansion for us on EVPFL will come from 2 components. It will come from not just the ramp of the mortgage solution, which is where we always start, but it will come from then the adoption of Close, which we've shared is highly accretive to us and very -- just very beneficial for both Blend and obviously, our customers. Then lastly, as it pertains to what you already noted yourself, we have shared and we believe Rapid Refi, for what we're seeing in the market today -- not just in terms of timing, but also in terms of its value components -- will be the second component that allows us to become much more headwind -- much more tailwind centric, I'm sorry, and allow us to regrow and get EVPFL back to a growth rate.
Operator: And your next question comes from the line of Ryan Tomasello with KBW.
Ryan John Tomasello: Nice to see the strong sales momentum. Regarding the 23 deals you called out in the third quarter, can you say what the mix was in terms of new logos versus expansion? And on the new logo front, it sounds like Nima, you're seeing traction there, but just any way to quantify if you're seeing that mix of new logos in terms of deals quarter-to-quarter increase? And then lastly, just on the IMB logos you called out, I think, 3 new logos signed in the quarter here. Any context on what drove those wins, specifically if those were competitive takeaways?
Nima Ghamsari: Yes. I'll start with the IMB question first. In many cases, those are competitive takeaways. because it's taken a lot for us to get to this point in the cycle where we're not just stable, but we're innovating quite a bit. And we mentioned Rapid Refi, but that's one piece. We're investing heavily in Blend Close. We're investing heavily in our core platform. And so our customers really appreciate that. They want a partner who can innovate through the ups and downs in the market. And so I think we've shown that we're resilient, and we will do that. And we'll keep building things. I mean one of the most common things I hear about software providers in the industry is they stopped innovating. They let their technology get stale. And they look at this AI wave as something that our customers look at it as something they can really benefit from. But tech companies in this space aren't really being able to take advantage of it in the way that they should. And so I think a lot of that is our resilience is what has led us to this point in the cycle with the IMBs. And I think layering that on top of the fact that we now have a dedicated business unit. One thing about IMBs, and you probably know this, Ryan, is they're very idiosyncratic. They're a little different than a bank or a credit union or maybe a lot different in some cases. And so they have unique needs. They're very different in how they operate, how they track their P&L, what things are important to them, which is why we stood up a dedicated IMB business unit. And that dedicated IMB business unit includes the ability to build products, the ability to support our customers, the ability to sell to our customers, our prospects -- and that's really driven a lot of, I guess, positive momentum with the IMBs from us. They feel more than ever that we care about them. We've always cared about them, but now they get to feel it and see it firsthand and have a dedicated team that they get to work with. And so I think it's been really a very positive story for Blend and one that I think this market with the IMBs, it's such a big market, such an interesting market and one that now we have this focused unit, I think we can take a focused effort at continued expansion there. As for a breakdown of new logos versus expansions, we don't share that -- we haven't shared that number. But I think one thing that's been surprising to me has been how much -- through the first half of '24, it was very hard to sign new logos because people are still in cost-cutting mode. Now not only are we getting new -- existing customers to expand, but we are getting -- our pipeline is very good. The customers we've signed this year, the new logos we brought on this year, we've announced a number of them publicly, in fact, are some big names. And of course, smaller ones that go along with it, but these are companies that maybe took '23 in the first half of '24 off, and now they're coming back to the table and saying, "Hey, it looks like the market is going to recover imminently. Let's get in front of that." So it's one of the things that -- layered on all the other good things that I said that I'm excited about, it gives me a lot of promise for the industry's future and obviously, Blend is part of it.
Ryan John Tomasello: Great. And then, Amir, I think -- apologies if I missed this in your prepared remarks, but I think you've previously been guiding to a Rule of 40 by the end of this year. Is that still the case? Or anything notable to call out in terms of changes on that front?
Amir Jafari: Ryan, thanks for the question. We're not in a position to make any changes yet. We're obviously monitoring the macro in its own aggregate. There's a lot of movements, not just to your question, but to what Dylan mentioned earlier. But we expect to be able to come back in the next quarter and just either reaffirm or obviously change or update our perspective.
Operator: [Operator Instructions] And our next question comes from the line of Aaron Kimson with Citizens.
Aaron Jacob Kimson: Nima, I want to start with a bigger picture question. I think it's topical with the release of GPT-5 today, SaaS companies trading off in your vertical software background of Palantir and Blend. How do you think about the relative positioning of vertical software vendors versus horizontal vendors in an agentic AI world, specifically in financial services?
Nima Ghamsari: Yes. The thing about vertical software that makes it so special is that you can get real results as a customer very quickly. Some of the customers that we announced, putting aside AI for a second, some of the customers we announced earlier this year or last year are already live and ramped and doing a ton of volume, including a top 10 bank. So something that we're super proud of is that because it's vertical software, because it's built -- purpose-built for this industry and for this use case, it allows for much more rapid ROI for our customers. So that's one piece. I think vertical software in general is superior in a lot of ways for that reason versus going into a horizontal platform and completely having to customize it from scratch to serve a use case that's the same across hundreds of or thousands of institutions. And then with AI, it becomes even more acute because the purpose of AI, agentic AI is to -- is going to be in this industry, my belief is going to be to take a lot of the things that are operationally very manual for our customers that drives up costs for our customers and ultimately for consumers. It's going to make those things much faster and easier. And so a simple example would be, humans have to go and look at appraisals and look for 3 exterior photos and 3 interior photos. And that's something that AI can do extremely well. But there's thousands of those examples per loan. And so when you're thinking about how to make this industry modern and efficient, really the only way is something we can handle this level of unstructured complexity and bring simplicity to it, and it has to be purpose-built for this industry in order to do that. Otherwise, every single lender is going to be building the same prompts, the same agents with the same tools for the same use case from scratch. And it's hard to maintain because those rules change as Fannie and Freddie and others update their guidelines as regulations change. So it's very important, and I think vertical software companies are well positioned to deliver outcomes faster with AI. And hopefully, Blend is no exception.
Aaron Jacob Kimson: That's really helpful perspective. And then Amir, thanks for everything as well. I guess one last question on the public calls for you. It's great to see the strong consumer banking growth again this quarter at 43%. I'm trying to quantify Dylan's question a little bit. How should we think about the home equity component of the consumer banking line, its contribution to growth coming in above the top end of the CAGR range again in 2Q and the possibility that HELOCs will be included in the mortgage revenue line in the future so we can better understand the core consumer revenue.
Amir Jafari: Thanks, Aaron. Let me double click into that by just breaking it down into a few pieces. First, as it pertains to home equity, there's a seasonal aspect that we've spoken to. And so you're seeing that uptick from a quarter-over-quarter perspective. Second, we've continued to not just add from the core home equity application, but in essence, our Rapid Home Equity. We're seeing that app gain traction, which implies that our market share and overall, what we're able to achieve has been increasing, hence, the increase that you see relative in the consumer banking numbers. Embedded in those numbers as well, though, is our success as it pertains to non-home equity, so deposits and the other core components, credit cards, auto and so on and so forth. It's the function that all of those are in essence, executing right now, which is why we were able to execute to what we did in Q2. On a prospective basis, to now correlated to your question as it pertains to what Dylan mentioned, there will be a point in time where, again, as you see a very large return and stabilization of mortgage and refi, we expect home equity to somewhat stabilize. You'll see, in essence, one side versus another. But we feel very good because of the market share that we have in home equity, the expansion through Rapid Home Equity, which is really allowing us to drive price uplift. And then lastly, our ability to just bring that together from a whole suite of solutions that just power what we do today.
Operator: [Operator Instructions] And your next question comes from the line of Joe Vafi with Canaccord.
Pallav Saini: This is Pallav Saini on for Joe. I just have one. Nima, you talked about the opportunities in AI and what you can do there for your clients. How should we think about the investment that's needed to get there?
Nima Ghamsari: Good question. Yes, I would say to start with, it's -- we're very early in our AI journey. So I want to couch my answer with that in mind. But one of the things that makes AI very helpful for us is not only the use cases and outcomes that it can drive for our customers, but it's also making us more efficient as an organization using the AI tools internally. We use it across our entire product life cycle. We use it across every aspect of how we work with creating materials, content. And so it's making us more efficient. And even building AI tools is getting more efficient by the day. I don't know if you saw, but an hour ago or so, OpenAI released GPT-5. Those kinds of things are only beneficial to our story and our ability to serve our customers and drive ROI. And so while I don't have an exact investment number for you, I can say, in aggregate, it's making our company better and more efficient, and it will make our customers' lives better and more efficient as well.
Operator: [Operator Instructions] There is no further question at this time. That concludes today's call. Thank you all for joining. You may now disconnect.